Operator: Welcome to the Impinj Fourth Quarter and Full Year 2022 Earnings Conference Call and Webcast. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Andy Cobb, Vice President, Strategic Finance. Please go ahead.
Andy Cobb: Thank you, MJ. Good afternoon, and thank you all for joining us to discuss Impinj's fourth quarter and full-year 2022 results. On today's call, Chris Diorio, Impinj's Co-Founder and CEO, will provide a brief overview of our market opportunity and performance. Cary Baker, Impinj's CFO, will follow with a detailed review of our fourth-quarter and full-year 2022 financial results and first-quarter 2023 outlook. We will then open the call for questions. Jeff Dossett, Impinj's CRO, will join us for the Q&A. You can find management's prepared remarks, plus trended financial data on the investor-relations section of the company's website. We will make statements in this call about financial performance and future expectations that are based on our outlook as of today. Any such statements are forward-looking under the Private Securities Litigation Reform Act of 1995. While we believe we have a reasonable basis for making these forward-looking statements, our actual results could differ materially because any such statements are subject to risks and uncertainties. While we describe these risks and uncertainties in the annual and quarterly reports we file with the SEC, we do not undertake, and expressly disclaim, any obligation to update or alter our forward-looking statements except as required by law. On today's call, all financial metrics except for revenue, or where we explicitly state otherwise, are non-GAAP. Balance sheet and cash flow metrics are GAAP. Please refer to our earnings release for a reconciliation of non-GAAP financial metrics to the most comparable GAAP metrics. Before turning to our results and outlook, note that we will participate in Susquehanna's 12th Annual Technology Conference on March 2nd in New York and the 35th Annual ROTH Conference on March 13th in Dana Point. Also, we will host an Investor Day on June 13th in Seattle. Please save the date. We look forward to connecting with many of you at those events. I will now turn the call over to Chris.
Chris Diorio: Thank you, Andy. And thank you all for joining the call. Fourth-quarter 2022 capped a very strong year for Impinj. We delivered record revenue in both the fourth quarter and for the full year. We delivered sequential double-digit revenue growth in second, third, and fourth quarters. We delivered record adjusted EBITDA in the third and fourth quarters. We delivered our 75 billionth endpoint IC, another milestone on our journey to connect every item in our everyday world. And we have record backlog entering 2023. Our strong support for, and shipments to, enterprise end-users drove those results, despite persistent wafer and component shortfalls. As we look into 2023, we see significant end-user opportunities for our platform, and we expect those opportunities to pay further dividends in the form of continued strong endpoint IC volume growth. Starting with endpoint ICs, 2022 demand held strong, with program expansions and new programs more-than-offsetting retail inventory headwinds. Fourth-quarter endpoint IC revenue exceeded our expectations, setting a record for the fifth consecutive quarter. We anticipate significant endpoint IC volume growth in 2023, despite macroeconomic crosscurrents and retailers' ongoing inventory reductions. The bulk of that growth is rooted in our platform focus on supply chain and logistics package tracking as well as retail self-checkout and loss prevention. On the wafer front, we are seeing improved supply. As anticipated, our inlay partners layered on additional bookings as our wafer visibility improved, creating record year-end backlog. With that improved supply, we can and will ramp shipments into that strong demand. That said, our shipment volumes will remain constrained at least into second-half 2023 to wafer-delivery timing and teething issues as we ramp our expanded 300 millimeter post-processing to volume production. Turning now to systems, fourth-quarter reader and gateway revenue exceeded our expectations, led by deliveries to the visionary European retailer's self-checkout and loss-prevention deployment and despite component shortfalls constraining shipments. Looking forward, although we anticipate less schedule and cost variability as component shortfalls abate, a few components remain stubbornly tight, and we do not expect supply to normalize until second-half 2023. Like for the fourth quarter, we entered first quarter with significant reader backlog. Reader IC revenue set a record for the third consecutive quarter, driven by Impinj E-family strength as our partner's built products ahead of their product launches. Looking into first quarter, we expect lower E-family volumes as those partners follow the typical product cadence seeding the market, followed by subsequent strength as they ramp production volumes. We expect first-quarter strength in our Indy reader ICs to more-than-offset the E-family decline. Looking further into 2023, we expect our E-family to significantly outpace and rapidly replace our Indy family. On the product front, in November we announced the Impinj M780 and M781, our latest 300 millimeter endpoint ICs. They expand our M700 product line with extended product identifiers and significant user memory. We also introduced our patent-pending Impinj Core3D Antenna reference-design portfolio that enables omnidirectional reading for all M700 ICs, improving item readability. On the project front, the visionary European retailer continued deploying, contributing strong fourth-quarter gateway revenue. We expect this project to deliver a strong first-quarter revenue and step down as this deployment phase approaches completion. We anticipate future self-checkout and loss-prevention opportunities with this retailer at other brands and in new geographies. The Asia based global retailer's self-checkout deployment also generated meaningful fourth-quarter revenue. And in supply chain and logistics, we continue to expect the second large North American end user to both continue their system deployment and drive large endpoint IC volumes in 2023 and beyond. Turning to our organization, I would like to start by welcoming Cathal Phelan as our Chief Innovation Officer. Cathal will focus on long-term innovation and intellectual-property strategy as well as remain on our Board of Directors. Welcome, Cathal. It is a pleasure to have you on our Executive Team. In December, we published our second Corporate Citizenship Statement, outlining our commitments to people, culture, the environment, and governance. Last year, we strengthened our ESG program's foundation by formalizing our Board's oversight of ESG matters, measuring and reporting our Scope 1 and Scope 2 emissions, and adopting a new Supplier Code of Conduct. In 2023, we will focus on corporate culture and environmental sustainability and anticipate meaningful progress on both. Last, and certainly not least, I want to congratulate my dear friend and Impinj Co-Founder Dr. Carver Mead on his 2022 Kyoto Prize in Advanced Technology. This award is a wonderful honor for a gem of a person who is also one of the fathers of modern IC design and computing, in addition to his many contributions to engineering, physics, and applied science. Carver, it makes me so very happy to see you win this well-deserved award. Congratulations. Before I close, I'd like to thank every member of the Impinj team for the grit you showed every day of 2022. Our results are a testament to your grace under pressure, facing challenge after challenge. To each of you, every member of this company you have built, I'd like to offer my heartfelt thank you. In closing, 2022 was a banner year for Impinj. We delivered record revenue and adjusted EBITDA while launching new products, investing in our team and unlocking new opportunities. As we continue driving our bold vision to connect every item in our everyday world, I remain confident in our market demand and position and energized by the opportunities ahead. I will now turn the call over to Cary for our financial review and first-quarter outlook. Cary?
Cary Baker: Thank you, Chris, and good afternoon everyone. As Chris noted, Impinj had a fantastic 2022, with four consecutive record-revenue quarters, record adjusted EBITDA margin, and record backlog entering 2023. Momentum built throughout the year, culminating in record fourth-quarter revenue, adjusted EBITDA, and EPS. That said, we also wrestled with wafer shortfalls and component challenges, preventing us from fully capitalizing on our demand. Despite those challenges, our team's consistent execution led to meaningfully improved supply and sequential revenue growth every quarter. Today, more than ever, I am energized by our many enterprise deployments in retail and supply chain, and logistics that are driving strong secular demand and which will, in turn, enable us to deliver growth and operating leverage. Fourth-quarter revenue was $76.6 million, up 12% sequentially compared with $68.3 million in third-quarter 2022 and up 46% year-over-year from $52.6 million in fourth-quarter 2021. Fourth-quarter endpoint IC revenue was $58.7 million, up 15% sequentially compared with $51.2 million in third-quarter 2022 and up 53% year-over-year from $38.4 million in fourth-quarter 2021. Quarter-over-quarter endpoint IC revenue growth significantly outpaced our original mid to high single-digit expectations. Unit-volume growth also exceeded our original expectations, more than offsetting the expected decline in specialty and industrial mix. Looking forward to first-quarter 2023, we expect low-double-digit sequential endpoint IC revenue growth, driven by increasing volumes as wafer supply continues to improve. Fourth-quarter systems revenue was $17.9 million, up 4% sequentially compared with $17.1 million in the third quarter 2022, and up 26% year-over-year from $14.2 million in fourth-quarter 2021. Systems revenue exceeded our expectations, due to our contract manufacturer delivering more readers than we had anticipated. On both a sequential and year-over-year basis, gateway and reader IC revenue increased while reader revenue decreased. Despite strong backlog, we expect first-quarter 2023 systems revenue to be similar to the fourth quarter due to a few stubbornly tight components. 2022 revenue was $257.8 million, up 35% year-over-year compared with $190.3 million in 2021. Endpoint IC revenue grew 38% year-over-year, driven by growing volumes from new deployments, expansion at existing deployments, and a strong specialty and industrial mix. Systems revenue grew 30% year-over-year, driven by E-family reader IC strength, the loss prevention deployment with the visionary European retailer, and broad-based reader demand. Fourth-quarter gross margin was 53.8%, compared with 56.9% in third-quarter 2022 and 58.2% in fourth-quarter 2021. The quarter-over-quarter decline was driven by endpoint IC product margins, specifically the lighter mix of specialty and industrial ICs. The year-over-year decline was driven by endpoint IC product margins, both from the lighter mix of specialty and industrial ICs and less sales of fully reserved inventory. Full-year 2022 gross margin set an annual record at 55.5%, compared with 54.2% in 2021, with the increase due primarily to endpoint IC product margins, specifically the specialty and industrial mix, partially offset by less sales of fully reserved inventory. Total fourth-quarter operating expense was $29.5 million, compared with $29 million in third-quarter 2022 and $25.3 million in fourth-quarter 2021. Research and development expense was $14 million. Sales and marketing expense was $7.3 million. General and administrative expense was $8.1 million. 2022 operating expense totaled $114.2 million, compared with $94.1 million in 2021. We expect total first-quarter 2023 operating expense to increase, driven by annual payroll tax resets, bonus-structure changes, legal fees as well as continued investments in our platform. Fourth-quarter adjusted EBITDA was $11.8 million, compared with $9.8 million in third-quarter 2022 and $5.3 million in fourth-quarter 2021. Fourth-quarter adjusted EBITDA margin was 15.3%. 2022 adjusted EBITDA was $28.9 million, compared with $9.1 million in 2021. 2022 adjusted EBITDA margin was 11.2%. Fourth-quarter GAAP net loss was $100,000. Fourth-quarter non-GAAP net income was $11.6 million, or $0.41 per share on a fully diluted basis. 2022 GAAP net loss was $24.3 million. 2022 non-GAAP net profit was $26.3 million, or $0.96 per share on a fully diluted basis. Turning to the balance sheet, we ended the fourth quarter with cash, cash equivalents, and investments of $192.9 million, compared with $201.1 million in third-quarter 2022 and $207.6 million in fourth-quarter 2021. Inventory totaled $46.4 million, up $14.5 million from the prior quarter, with the increase coming primarily from endpoint IC work-in-process. Fourth quarter net cash used in operating activities was $6.2 million. Property and equipment purchases totaled $6.1 million. Free cash flow was negative $12.3 million. For the full year, net cash provided by operating activities was $600,000. Property and equipment purchases totaled $12.1 million. Free cash flow was negative $11.4 million. Before turning to our first-quarter guidance, I want to highlight a few items unique to our fourth-quarter results and first-quarter outlook. First, we currently anticipate first-quarter 2023 gross margins between 52% and 53%, with the sequential reduction due to a lighter mix of E-family reader ICs and unanticipated costs in both 300 millimeter endpoint IC post-processing and reader components. We are actively addressing these elevated costs and anticipate gross margins to return to our targeted 53% to 54% range in second-quarter 2023. Looking further ahead, we see gross margin stabilizing in that 53% to 54% range until product innovations create opportunities for gross margin accretion. Second, our business model demonstrated significant 2022 operating leverage. And while we expect a step down in first-quarter 2023 adjusted EBITDA margin, our goals remain operating margin expansion and then consistent free cash flow. That said, in first-half 2023 our planned inventory growth, comprising primarily endpoint IC work-in-process, will consume more cash than we will otherwise generate from operations. Finally, upside wafers began layering into our fourth-quarter 2022 inventory and we expect another increase during first-quarter 2023. Despite that increase, we expect to be hand-to-mouth on finished endpoint ICs at least until second-half 2023, for the reasons Chris already noted. Nonetheless, we anticipate growing endpoint IC shipment volumes to drive low-double-digit sequential endpoint IC revenue growth in first-quarter 2023, and mid to high single-digit sequential endpoint IC revenue growth in second-quarter 2023. Turning to our outlook, we expect first-quarter revenue between $82 million and $85 million, compared with $53.1 million in first-quarter 2022, a 57% year-over-year increase at the midpoint. We expect adjusted EBITDA between $9.2 million and $10.7 million. On the bottom line, we expect non-GAAP net income between $8.6 million and $10.3 million, reflecting non-GAAP fully diluted earnings per-share between $0.30 and $0.36. In closing, I want to thank our Impinj team, our customers, our suppliers, and you, our investors, for your ongoing support. I will now turn the call to the operator to open the question-and-answer session. MJ?
Operator: Thank you very much. We will now begin the question-and-answer session. [Operator Instructions] Today's first question comes from Toshiya Hari with Goldman Sachs. Please go ahead.
Toshiya Hari: Hi guys, good afternoon, and congratulations on the strong results. My first question is for Chris. I was hoping you could talk a little bit about how you're thinking about the full year, both from a supply perspective as well as a demand perspective. On the supply side, it sounds like you're still working through some of the constraints both in your IC business as well as your system's business. But at this point in time, what kind of visibility do you have? What kind of support do you have from your foundry partners and some of your component suppliers in terms of growth for the full year? And I guess on the demand side if you can talk a little bit about what you're seeing from a pricing perspective and how you're thinking about volume, particularly across the logistics supply chain, and retail. That would be super helpful. Thank you.
Chris Diorio: Okay. Thank you, Toshiya. And I will do my best to hit that question. I'm looking at Jeff and Cary for a little bit of assistance because there's a lot of items to unpack there. So to start out, in 2023 we anticipate significant endpoint IC volume growth. Despite macroeconomic crosscurrents and retailers' ongoing inventory reductions, we see long-term multi-year tailwinds for our industry overall. We have, of course, a very strong backlog entering the year. There is pent-up demand out there in the market from programs that were either delayed or that we couldn't fully get going in 2022. And we are seeing increased supply from our foundry partner. As I noted in my prepared remarks, that increased supply is ramping up. So, we will -- as well as our post-processing is ramping up. And so, we will still be running hand-to-mouth for at least the next two quarters heading into the second half of 2023, and we'll have to give an update at that time based on what the demand looks like and what our supply and our post-processing look likes to give -- to give an idea of how much we're catching up if at all. In terms of overall strength in the market, we collectively, all of us feel very good about where the market is right now. The growth opportunities that we're seeing both in retail and supply chain and logistics and more broadly, and I'll just add a little anecdote here, back when we first started at RAIN RFID 15 years ago, I remember a lot of programs that were potentially going to ramp at that time, including everything from magazines, to pharmaceuticals, to building supplies and so many -- just so many areas. Back at that time, the technology wasn't ready, the products weren't ready. And quite frankly, the RAIN RFID wasn't far enough along for that kind of broad-based adoption. What we're seeing right now is those programs starting to return. We're seeing demand on the market from many verticals, in addition to the strength in retail and supply chain and logistics. That gives me a very positive feeling for the future 2023 and beyond. And I'll pause to see if anybody else here I would like to layer anything else on, or I'll just turn it back to you Toshiya for a follow-up question. I think we're good. Did I answer your questions, Toshiya?
Toshiya Hari: Yeah. Just -- Chris, on pricing. I think it's well-telegraphed that your key foundry supplier increased pricing across the board. Not just for you guys, but for all fabless customers, your ability to pass that through to customers in 2023? And then I'll just ask my follow-up as well. And this one is for Cary. So the increased costs you spoke to on the post-processing side of things, I wasn't quite sure what exactly is going on there in Q1. So if you can kind of expand on that or elaborate that'll be super helpful. And then your conviction level around that reverting in Q2 and beyond? Thank you.
Chris Diorio: Thanks, Toshiya. I'm going to hand the entire thing up to Cary. So, Cary.
Chris Diorio: All right. So, Toshiya, starting with the first part of your question. Yes, our foundry partner raised prices, those price increases are going into effect right now. Expect us to handle that in a similar way that we've handled previous cost increases, we will look to pass those on to our customers in a way that enables us to maintain the integrity of our margin model. Those price increases are going into effect now over the course of the first couple of quarters of the year at this point. And then to your question on post-processing, the dip in gross margin is temporary and will rebound in Q2 for a couple of reasons. First, we had a very last-minute cost increased from one of our back-end partners. For the first quarter, we are prioritizing production volumes over costs, so that we may deliver on our customer commitments and continue scaling into those record demand. For Q2, however, we will flex our supply chain, so that we may get back to our targeted gross margin percent while delivering on increased volumes as well. So, we just need a little bit more time to flex to support that. And then the second item relates to ongoing component challenges for our reader business. We had a cancellation and decided to pay a premium to get -- to secure the component from an alternative supplier. Based on today's visibility, however, we expect to deliver flat systems revenue in Q2 at a richer margin than Q1. So, for those reasons, we expect Q2 to bounce back into the 53% to 54% range. And I would end with, I expect full-year gross margin to be in the 53% to 54% range. So, we will more than make up for it in the back half of the year.
Toshiya Hari: Great. Thanks for all the details.
Chris Diorio: Yeah. Thank you, Toshiya.
Operator: The next question comes from Harsh Kumar with Piper Sandler. Please go ahead.
Harsh Kumar: Yeah. Hey, guys. First of all, congratulations. Pretty incredible results in this economy. I had a couple of questions. First, I wanted to clarify something Cary, did you say the second quarter will see double-digit sort of teams endpoint IC growth just as a point of clarification? And my question is, you are seeing a very healthy increase in the revenues and endpoint IC. I was curious if you could -- just to take Toshiya's question and sort of turn it around, could you point us to the end markets that this is coming from.
Cary Baker: Yeah. I'll take the first one and then hand over to Jeff for Chris for the second. So, Harsh, to clarify, in Q -- for the first quarter, expect low double-digit quarter-over-quarter revenue growth for endpoint IC. In the second quarter, expect mid to high single-digit quarter-over-quarter endpoint IC revenue growth.
Chris Diorio: [Multiple Speakers]
Harsh Kumar: Yeah. Sorry. That was it. Thank you. And then the clarification on revs are coming from.
Chris Diorio: Yeah. Demand is -- So, Harsh, demand is coming from, as I said in my prepared remarks, significantly from our target verticals. Retail and supply chain and logistics buoyed by some of the work we're doing in packaged tracking and supply chain logistics and loss prevention and self-checkout on the retail side. But as I said, and answered to Toshiya's question, we're also seeing a kind of broad-based growth in the other verticals and other opportunities and although we don't call those out specifically. We feel some buoyancy in the market from those many opportunities. They will not all materialize into instant volumes but programs are -- that I thought were well behind us and I kind of put out in my mind, it’s starting to return right now. So, I feel good about the mark and I see Jeff nodding has said the same. So, I think we feel good about where we are in terms of long-term endpoint IC unit volume opportunities and tailwinds we see overall for our industry and for us in particular.
Harsh Kumar: Okay. Great. Thank you so much, Chris, for that color. And then, Cary, for my follow-up. I think when I work the numbers to the model, the OpEx was up quite significantly -- I think you laid out a bunch of things. Would this be the new base for OpEx as we move forward? Or are you expecting a sort of a one-time step up for a variety of reasons in the March quarter? Because you gave us the revenues, you gave us some margins and then there isn't a whole lot outside of OpEx [indiscernible] the numbers. And then Chris for you, Avery Dennison talks about 20% growth organically in the Intelligent label business. Your growth is much larger and I was trying to understand why you're growing so much faster than your biggest distributor.
Cary Baker: Okay. Harsh, this is Cary. I think I can take both of those. So, yes. We are anticipating a step up in OpEx for the reasons I mentioned in the prepared remarks. It is the seasonal effect of payroll tax resets. It's the structural change to our bonus, remember this is the second final step to changing our bonus to 100% cash. It is legal fees and then it's our ongoing investment in our platform. So, as you look forward, I expect this level to be at approximately where we'll be for the near term with fluctuation depending on G&A related to legal fees, which I expect more first-half weighted than second-half. And then as the seasonal expense abates expect our investment in our engineering team and our sales and marketing to step into that. So, the trend will match somewhat similar to what you saw in 2022, since many of the dynamics are present in 2023 as they were in 2022.
Harsh Kumar: Understood.
Cary Baker: And then your second question regarding our growth rates relative to one of our top customers Avery Dennison, we don't always line up with Avery Dennison in each quarter. They report an enterprise-wide intelligent labels revenue growth rate, but there are mix and ASP differences that need to be taken into account. We are also in a high inflationary environment right now and it's unlikely that it's impacting us both in this exactly the same way. What I would add is that, we're incredibly encouraged that they are talking about the market acceleration in 2023 and that's exactly what we see as well.
Chris Diorio: We serve kind of the broader market in general. Denison is, of course, one of the key suppliers of labels [indiscernible] but there are others out there. And so, we serve the broader market, which includes many other partners also. And keep going [indiscernible]. I'm sorry.
Harsh Kumar: No, no, no. I was just saying thank you for all the color guys, and congratulations again.
Chris Diorio: Thank you.
Cary Baker: Thank you, Harsh.
Operator: The next question comes from Mike Walkley with Canaccord Genuity. Please go ahead.
Michael Walkley: Great. Thank you. Let me add my congratulations. It's been certainly fun to follow the Impinj journey over the past decade and all that you guys have accomplished. I guess my first question -- my first question is just on the systems business, you've had some very large projects roll out over the past year and it sounds like it should be flattish into the first half of the year, but how should we think about just the systems business in the pipeline and maybe the second half of the year or is it too early to call once new projects might hit.
Jeff Dossett: This is Jeff. I'd start by saying that the system's pipeline is strong and growing nicely. We do have some large enterprise deployments that are going well. And success in those initial deployments creates opportunity to expand within those accounts as well as other enterprises in the retail and supply chain and logistics sectors, which are both significant growth vectors for Impinj. As it relates to -- I'll pass it to Cary to speak to the timing and impact of revenue in 2023.
Chris Diorio: Yeah. Mike, thanks for the question. We signaled that we expect similar systems revenue in Q1 that we delivered in Q4. And in Q1, we have a lot of the same dynamics with the visionary European retailer continuing to deploy the second phase of their loss prevention deployment. Now that phase will wrap up largely in Q1. There's opportunities to win more business with this customer that are as great as what we've already delivered to the customer, but the timing may not match up perfectly. We have been prioritizing that deployment in terms of allocating our finite components that continue to be a struggle for us to get. So, as that Phase II ramps down, that frees up some components for us to deliver to other customers that have unfortunately been waiting on the sidelines for their readers. So, now that we have a little bit better visibility into 2Q component supply, we're able to signal that Q2 will be similar to Q1, whereas you recall last quarter, we were worried that we wouldn't be able to deliver similar revenue and we actually guided Q2 down just a little bit. So, we're in a little bit better position than when we were a quarter ago. But we're still in a situation where demand outstrips our ability to supply for systems because of these component shortfalls.
Michael Walkley: Right. That's helpful color. And for my follow-up question, maybe for Chris or Jeff. Just how is the customer feedback for Impinj authenticity now that you've had a quarter that rolled out and do you see anything even close to competitive on the market that can match this vision and solution?
Jeff Dossett: I'll take that one, Mike. And I'm excited that you asked the question. I'm very encouraged by the growing level of interest among our solution partners and an increasing number of enterprise end customers who are guiding Impinj authenticity solution engine. Recall that it's an innovative differentiated Impinj platform solution engine that delivers cryptographic product authentication that protects brands and consumers. The pipeline is growing nicely. Of course, the time and pacing -- or the pace and timing of those opportunities is challenging to predict. But I am even more optimistic today than when we had this conversation last quarter regarding the opportunity not only to build endpoint IC recurring revenue, but also to establish a new services revenue opportunity in the longer term.
Chris Diorio: Mike, I guess, I'd like to add one thing there. Just as you think about it long-term, now think about any technology. It does matter of [indiscernible] think of any early successful technology that hasn't rolled out security, you'd be hard-pressed to find one. And here, we're the first ones to truly launch and endpoint IC design for broad-based adoption that has a cryptographic engine and the key in it. And that cryptographic engine and the key allows us to authenticate the item to which the IC is attached. We believe that capability for the future will be essential and that at some point in the distant future, as you know, because we get better and better at doing this, there will be a key in every single IC, there needs to be. It’s just how technology goes. So, we're excited about where we stand today. We're excited about our pipeline, and I personally I'm excited about the long-term opportunities, not just a year or two out, but further out in time as well.
Michael Walkley: Great. Thanks for taking my questions.
Jeff Dossett: Thank you.
Operator: The next question comes from Scott Searle with ROTH. Please go ahead.
Scott Searle: Hey, good afternoon, and thanks for taking my questions. And congrats again on the nice quarter.
Chris Diorio: Thanks, Scott.
Cary Baker: Thanks, Scott.
Scott Searle: Hey, Chris, in past quarters, I think you've talked about under-shipping demand from an endpoint IC in the ballpark of 50% plus. I didn't hear a number this time around. So, I was wondering if there is one that you're willing to share with us. And then on the systems outlook, I just want to clarify, again, it sounds like now with the European visionary retail Phase 1 deployment rolling off in the first quarter, you still have visibility at this point and comfort to a flat second quarter. I'm kind of wondering how you think that progresses then into the second half of this year. Because it sounds like Phase 2 is not being factored in there. If it does, that would be upside that we could possibly see in the second half of this year or into 2024.
Chris Diorio: So, Scott, I think I'll take the first part of -- the first question and then I'll hand off to Cary. We had signaled that for six consecutive quarters, demand exceeds supply by more than 50%. I can say that the same for this current quarter as well. So for seven quarters, demand is at 60%, supply more than 50%. However, we're going to stop using that metric going forward, and instead focus on providing more detailed information about demand, supply, the market, and other things, we're going to try and provide more color rather than just one single number going forward. But if you're asking about, did we achieve that metric again for the seventh quarter? The answer is yes.
Cary Baker: And Scott, this is Cary, I can take the second question. Yes. You heard correctly -- we now believe systems revenue will be flat through the first two quarters of the year. The loss deployment phase will roll off and then the limited supply that we have will go to other customers in Q2, but keeping revenue about flat. I don't want to guide second-half systems revenue just yet. We are still navigating these component shortfalls. So, I don't feel comfortable going beyond kind of the next couple of quarters. But as soon as we have better visibility to components we will update that.
Scott Searle: Great, very helpful. And if I could, just on the big picture front, I guess two items. Following up on Mike's question on authenticity and you kind of opened the door there from a services revenue standpoint, I'm wondering how you're starting to see that model develop, if there's any commentary in terms of timeline, how you think that'll function and when we would actually see some contribution? And then, Chris, from a really high level If we look over the past decade, endpoint IC have been growing in the ballpark of 25% to 30% per year on a compound annual growth rate. We're seeing that start to inflect being pulled forward by the pandemic, obscured by a lot of the supply chain issues that we've had ongoing for the last several quarters. So, I'm wondering if you would take a stab at what the growth rate of this market looks like over the next two, three, five years. It's still very early days. We're still constrained by supply and wafer availability, but that's easing. But it's just a market that's going to grow 50% for the next three to five years, you guys have any take on that? Thanks.
Jeff Dossett: So, let me take the second question first then I'll hand over to Chris on authenticity. Scott, I could hazard a lot of guesses in terms of where this market could go or might go, and I do feel there is very strong demand out in the market at [NRF] (ph) really for the most part I was talking to enterprise end users as opposed to partners. So, I feel very good about the market, about the opportunity, about growth not only in our core vertical in adjacent ones as well. With that said, I don't feel good enough I don't have predictive powers that are good enough to suggest that the market in the future will be any different from the historical trends of 25% to 30%, it may turn out to be the case and if it is, we'll come forward and tell you, but right now the best prediction that I can make is just the historical trends have been 25% to 30% and that's kind of what we're holding going forward.
Cary Baker: Hey, Scott. This is Cary. I can take the question. I’m sorry.
Chris Diorio: Yeah, go ahead.
Scott Searle: I'm sorry, Chris, I just figured I'd give it a shot. [indiscernible]
Chris Diorio: Yeah. My crystal ball is not quite that good. Sorry.
Cary Baker: And Scott, unfortunately, my answer on the authentication model is going to be roughly similar. It's a little too early to model authentication revenue in 2023. We are shipping or we will ship units on our endpoint IC authentic and extreme endpoint IC some as early as Q1, but very small quantities at this stage. So it won't really hit the radar. So, give us a little bit of time before we can provide clarity on that. And go ahead, Jeff.
Jeff Dossett: Yeah. I think I would just add to that that I'm very encouraged by the creativity of our solution partners who will integrate cryptographic product authentication into their overall solutions offerings. And one of the important things we're doing right now is engaging with leading enterprises in how they see the building value through the introduction of product authentication within their overall service certain product portfolios. And in those discussions, these enterprise end customers are bringing forth creative ways in which that value could be attributed to both endpoint IC recurring revenue and the services revenue and how we and they and their partners might share in that building value. So, I think it's very important that we're -- as we're developing this emerging opportunity to listen to enterprise customers on how they create value, the contribution that the Impinj authenticity solution engine is making. And therefore, how we ought to in partnership create and share that value.
Scott Searle: Okay. Great. Thanks so much, guys. Great quarter.
Chris Diorio: Okay. Thank you, Scott.
Jeff Dossett: Thank you.
Operator: The next question is from Jim Ricchiuti of Needham and Company. Please go ahead.
Unidentified Participant: Hi, good afternoon. This is actually Chris [indiscernible] on for Jim. Congrats on the quarter.
Chris Diorio: Thanks, Chris.
Unidentified Participant: Could you talk about M700 as a percentage of the mix and how you expect that to progress over the next few quarters?
Chris Diorio: So, we don't break down on a percentage basis. The difference -- our different product families. What I will say is that our Impinj M700 family product volumes are growing. They represent our newest products. That's where we're investing and building our post-processing capacity, and our future really is around that entire Impinj M700 family. So, you should expect and -- you should expect that more and more as we go forward our volumes will be focused on the Impinj M700 family.
Unidentified Participant: Great. And with respect to the two new chips that are targeting the new use cases in automotive, pharma and food. What should we be looking for there in terms of key milestones? And what would you be planning to share with us over the course of the next few quarters?
Chris Diorio: I think the answer to that question is that we have particular customer opportunities that are using those ICs will come forward and highlight them. Otherwise, we intend to just treat the new Impinj M780 in M781 as kind of core element of the M700 product family and just expanding the breadth of the offering. So, if something notable comes up like we have a particular win that gives them expect us to come forward with it, otherwise, we won't be breaking it out separately, but we're excited about the introduction because those particular ICs open up just a broader range of opportunities for us.
Unidentified Participant: Great. Thanks very much and congrats again on the results.
Chris Diorio: Thank you, Chris.
Operator: Our next question is from Troy Jensen with Lake Street Capital. Please go ahead.
Troy Jensen: Hey, gentlemen, also my congratulations as usual. I'm just going to ask one quick question here, it can be for Jeff or for Chris? But I'd like to just chat a little bit about the pipeline and specifically logistics. We know you've got the big first customer and the marquee second customer, but we've always talked about others waiting in the length and it has to be apparent now that this big marquee customers clients success moving forward. So, just curious if you could talk about big opportunities there. Do you think we will be talking about a third logistics customer in 2022?
Jeff Dossett: This is Jeff. I can't speak to any specific customer. But when you do have sector-leading enterprises speaking publicly about the investments they're making in their RAIN RFID deployments and the benefits they are already seeing in it, no doubt others in the industry sector are tracking that -- those developments if you will. And I will say that the system's pipeline including supply chain and logistics continues to build nicely. As always, I want to reinforce that the pace and timing of those opportunities is hard to predict. But I see increasing opportunity for follow-on enterprises in that sector evaluating planning for and ultimately deploying solutions that are relevant to how they create business value in the future.
Chris Diorio: And Tory, expect us to keep investing in this [indiscernible] logistics opportunity, because we truly think that it's about whether opportunity for us, specifically, given the solutions that we're bringing to market.
Troy Jensen: Yeah. Understood completely. Keep up the good work, guys.
Chris Diorio: Thank you.
Cary Baker: Thank you.
Jeff Dossett: Thanks, Tory.
Operator: The next question is a follow-up from Harsh Kumar with Piper Sandler. Please go ahead.
Harsh Kumar: Yeah. Hey, guys. Actually, I had two quick ones. I noticed that we're modeling taxes at zero going forward. I was curious, Cary, if you could give us a sense of what kind of tax loss carry-over you have and if it's appropriate to model zero percent taxes for the foreseeable future.
Cary Baker: Yeah. It's almost zero. We have some foreign taxes that I think are in a couple of hundred thousand dollars range. We have almost $250 million of NOLs. So, I don't anticipate a tax bill in the near term.
Harsh Kumar: Fair enough, and then that's pretty straightforward. And then for -- one for Chris. Chris, there was a fair bit of talk, I think mid-point of last year that the Japanese convenience store guys were very interested in RFID if the cost could come down just a little bit. I was curious if you could help us understand how the total tax costs might come down. I mean I know it's probably not you guys because you're the main brands behind it at a penny. But what are going to be other components that might come down and maybe an update on those -- on the Japanese convenience sort of consortium.
Chris Diorio: Yeah. First, I'll do my best to unpack that one and give a kind of a cogent broad-based answer to it. Post-COVID the world has changed. Prior to COVID there was a significant push to drive the inlay cost down as the key driver that would enable adoption. Of course, inlay cost and the increment on our overall tag costs are still important, but the discussions we're having with end customers now a much more about digital transformation, and how we can help those enterprises change their business, change how they run their business, enables them to track every item they manufacture transport and sell, optimize their labor teams in terms of overall efficiency drive efficiencies in the organization themes their dynamic has changed post-COVID. So, I'm not saying cost doesn't matter, but it's no longer the single biggest thing that we get into a discussion on. A lot more discussion is how we can solve the problem for the end customer. Now as IC costs, other costs have gone up across essentially all industries costs have increased. We, of course, still have those cost discussions, it's hard to predict what the future holds from a cost perspective. But I would anticipate as things settle out long-term post-COVID we will go back to gradually decreasing costs over time low single-digit ASP declines overall for our industry, but that's to be determined, it really depends on what the future holds. As I think specifically about that opportunity in Japan, that opportunity has gone slowly and at least from our perspective although not gone away, there are other food opportunities worldwide that have actually come to the fore really ahead of it. We don't have the ability to really speak about those opportunities. We hear about other companies talking about food on some other calls. And food is one of those areas where we see these kind of long-term growth prospects and so we will be pushing in that area. And of course, food is very sensitive to cost and so if the cost aspect will come up associated with food. But right now, what we're really focused on is digital transformation.
Jeff Dossett: Two quick things that I would add to that. This is Jeff, is that recall that the challenge that the Japanese convenience store enterprises are seeking to address is the scarcity of labor and the cost of labor, and that challenge is no less today than it was when they started their investigation into the role of RAIN RFID and helping address that challenge. So, while cost does matter other costs have continued to increase, which has a favorable impact on the business modeling, if you will, about making a platform investment to address the labor shortage or scarcity and I would say the Impinj platform and its contribution to self-checkout has advanced well within that same timeframe. So the opportunity to smartly invest in increasingly performance Impinj platform-based solutions to self-checkout in an environment where labor costs continue to increase and labor scarcity continues to worsen, means that over time though it's hard to predict the pace and timing, that opportunity within that sector as well as Chris mentioned to overall food and quick service restaurant, et cetera, is an increasing opportunity and growth vector for Impinj in the longer term.
Harsh Kumar: Very well guys, thank you so much for all the color, I appreciate it.
Chris Diorio: Thank you. Harsh.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Chris Diorio, Co-Founder and CEO for any closing remarks.
Chris Diorio: Thank you, MJ. I'd like to thank you all for joining the call today. I hope you and your loved ones are remain safe and well. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.